Operator: Thank you for standing by, and welcome to the PropertyGuru Group First Quarter 2023 earnings conference. Currently, all participants are in a listen only mode. As a reminder, today's program will be recorded. If anyone objects, please disconnect now. Now let me introduce Nat Otis, VP of Investor Relations. Mr. Otis, please go ahead.
Nat Otis: Good morning and good evening. Welcome to PropertyGuru Group's first quarter 2023 earnings conference call. On the call today are Hari Krishnan, CEO and Managing Director; and Joe Dische, CFO. Before we get started a few reminders. Firstly, all results are available in earnings release that can be found in the Investor section of our website. Secondly, today’s webcast is being recorded. A replay along with a transcript will also be available in the investor section of our website. Thirdly, we will be making forward-looking statements including but not limited to statements regarding our future results and expectations for the business. These results are neither promises nor guarantees and involve risks and uncertainties that may cause actual results to vary materially. Please refer to our earnings release and SEC filings for more information regarding risk factors. Forward-looking statements are based on current expectations and the company is not obliged to update them except as required by law. Fourthly, this call will also contain non-IFRS financial measures. For reconciliation of non-IFRS financial measures to the most directly comparable IFRS metric, please see our earnings press release. Lastly, all dollar references are in Singapore Dollars unless otherwise stated. With that let me turn the call over to Hari.
Hari Krishnan: Thank you for joining us today for our first quarter 2023 earnings conference call. We are pleased to share that PropertyGuru has started the year off on a strong note by delivering overall revenue growth of 16% and positive adjusted EBITDA, both of which are in line with our internal expectations even with challenging conditions in Vietnam. As a result, we are maintaining the full year 2023 revenue and adjusted EBITDA outlook that we introduced last quarter. Our success can be directly attributed to our dedicated team of gurus as we expand our product portfolio, witness growing acceptance of our existing offerings and enhanced operational efficiency. Despite the cautious approach of some Southeast Asian policy makers towards current market conditions, we remain confident in the underlying strength of our offerings and the opportunities in the Southeast Asian property markets. In Singapore, PropertyGuru continues to benefit from a robust property market despite the introduction of additional market cooling measures by the government, such as property tax and stamp duty increases as a mechanism for prioritizing affordable home ownership for Singaporeans, while overall GDP only grew by one tenth of one% in the first quarter of 2023. GDP tied to construction experienced a significant increase of 8.5%. This robust construction sector growth bodes well for increased supply in the coming quarters. Our property market report brings positive news. As sales demand shows improvement from the previous quarter and both sales and rental pricing remains strong, albeit with transactions below first quarter 2022 levels. We continue to thrive with resilient pricing, high customer engagement and successful new products in Singapore. We introduced MRT featured agents, a premium product that allows consumers to find specialist agents and available properties based on their proximity to specific train stations. We also launched promoted listings for developers in both Singapore and Malaysia. Increasing awareness and leads for their properties as the volume of new projects launched continues to increase. In Malaysia, we are encouraged as our revenue growth has been supported by improved pricing and operational leverage from both our brands. Our strengthening presence in Malaysia is crucial for our future success and we believe that the uncertainties surrounding the national elections are subsiding. Additionally, we introduced know-your-customer in Malaysia, which strengthens lead quality for our agents and provides customized recommendations to consumers. Vietnam presents some challenges in the near term as the government continues to restrict credit for the property market. The number of our listings declined and many property related firms halted business in the quarter. But we continue to invest in the product as we revamped the primary search experience, offering simplified ad choices, longer default durations, and improve listing quality. On a macro level, there are positive developments such as the government's decision to lower interest rates in March, aiming to stimulate growth. Looking ahead, the Vietnamese economy's longer term outlook remains positive with the possibility of an inflection point for the property market in the second half of 2023. In our data services business following our expansion of datasets across all our markets in the first quarter, we undertook a technical upgrade of our interactive maps to further enhance the customer experience. Once again reinforcing our commitment to stay at the forefront of technological advancements and deliver the best possible solutions to our customers. On that note, I would also add that we have been exploring the application of generative AI for over a year now, with internal facing initiatives on software development productivity, code quality, and customer verification. In addition, we're also experimenting with external facing features to improve our content and consumer experience. In Fintech, as of the end of March, our mortgage business had brokered over S$4 billion worth of home loans. Demonstrating the trust and confidence that customers have placed in PropertyGuru as their preferred platform for securing home financing. Lastly, we have made several top notch additions to our leadership team. Disha Goenka Das has joined us as Chief Marketing Officer. Helen Snowball has joined us as Chief People Officer and Manav Kamboj, our Chief Technology Officer has expanded his remit to also serve as our Managing Director of Fintech. A strong and stable leadership team and board have been central to our success over the last several years. We are confident that these new additions to the team will only strengthen our capabilities in the years ahead. On a broader note, we are focused on the management of our cost base given current market conditions and as a result I would note that our overall headcount is already coming down. Just to wrap things up before passing the call over to Joe, the business continues to perform well as we leverage our value additive solutions and strong customer acceptance to deliver solid growth in a challenging environment. We remain bullish on our growth prospects, improving profitability and the fundamental opportunity that exists in our core markets. Let me now turn the call over to Joe to review our financial performance.
Joe Dische: Thanks, Hari. PropertyGuru started off 2023 well with revenues in the first quarter of S$33 million, up 16% from the first quarter of 2022. We're especially pleased with the fact that all of our segments experienced over 25% growth in the quarter, other than Vietnam, which continues to face challenges from governmental policies limiting available credit. Adjusted EBITDA in the quarter was S$0.2 million, roughly in line with the same period in 2022. It is worth noting that our first quarter 2023 result includes approximately S$2.5 million in costs relating to being a listed entity. Obviously, this is significantly more than in the prior year quarter as the company did not go public until late in March of 2022. Marketplace revenues were S$31 million in the first quarter, up 15% year-over-year and our adjusted EBITDA improved to 52% from 50% in the first quarter of 2022 as we continue to develop and deploy products and technology for use by our growing customer base. In Singapore, our pool of agent partners grew again this quarter. Our customer renewal rate was flat at 79% and our average revenue per agent or ARPA was up 19% from the prior year period. As a result of both the growing ARPA and a continued increase in the number of agents, Singapore revenues were up 26% to S$19 million from the first quarter of 2022 and adjusted EBITDA was S$40 million or 74% margin. In Malaysia, revenues were S$7 million, up 26% from the prior year quarter, and our adjusted EBITDA increased over S$1 million to positive S$3.5 million or 51% margin, up from 44% in the first quarter of 2022. I would note, this equates to a drop through of over 80% for every new dollar of revenue to adjusted EBITDA. This underscores the leverage we're now seeing in Malaysia as we reap the benefits of the iProperty and PropertyGuru in Malaysia. Vietnam's revenues, however, were down 34% from the first quarter of 2022. As governmental actions to limit the availability of credit led to a 32% drop in the number of listings from the prior year quarter. We have strong conviction in Vietnam's property market long term. Although our business continues to be challenged by near term -- impacted by near term challenges, we see enhanced product and search capabilities as adding greater value and laying the groundwork for growth once the credit environment improves. In the quarter, the average revenue per listing or ARPL in Vietnam was roughly flat with the first quarter of 2022 and the adjusted EBITDA margin was negative 28%. Finally, Fintech and Data Services combined revenue was up 40% year-over-year and adjusted EBITDA was a loss of S$2 million as we build out these longer term opportunities. Moving to the balance sheet, we ended the quarter with S$294 million in cash. We are encouraged by the types of M&A opportunities we are seeing as we look to deploy further available capital in adjacent data, fintech, home services, and developer operating system businesses. As Hari mentioned earlier, we are reaffirming our full year 2023 outlook of between S$160 million and S$170 million in revenues and S$11 million to S$15 million in adjusted EBITDA. While we acknowledge the headwinds faced in Vietnam, we remain comfortable with our assessment of the near term impact of governmental actions to limit credit and have a proven plan in place to deliver longer term growth, while safeguarding profitability. Once past this period of uncertainty, we remain poised to take advantage of both the macro outperformance of our core Southeast Asian marketplaces and positive demographic trends related to property ownership. I would like to point out that I'm particularly pleased with how well the business has reacted to current market conditions, as we utilize technology, internal automation, and prudent cost management to improve adjusted EBITDA. While we recently held our one year anniversary of being a publicly traded company, PropertyGuru has a 15 year legacy of technological innovation that has enabled us to become Southeast Asia's prop tech leader. Let me finish by thanking our customers for their steadfast support. Without you, we cannot have become the industry leader we are today. I will now turn the call over for questions. Operator, we're ready for our first question.
Operator: Great. We'll take your questions now. [Operator Instructions] So our first question is going to come from Nick Jones of JMP. Nick, go ahead.
Nicholas Jones: Sorry. Here we go. Hello? Can you hear me?
Operator: Yeah.
Nicholas Jones: Sorry about that. Hi, guys. So I guess just on some of the headwinds in Vietnam and as we think about the rest of the year, I guess, what can you maybe speak to what gives you confidence as you maintain kind of the prior guidance that you can achieve that or there's not potentially kind of increased pressure as we progress through 2023?
Hari Krishnan: I mean, first off, thank you for that question, Nick. It's -- I guess, from our perspective, there are a couple of things. I think what we've tried to do is make sure that in this interim period we are not -- we continue to invest in the business, we've launched, like I mentioned in my remarks, an improved search experience. We've seen good adoption considering the constraints of some of the premium products that we have shipped for agents, it's significantly improved the experience for consumers as well, property seekers in Vietnam. And I think at a macro level which is, obviously, the challenge, we've started to see some positive noises coming from the government. You've had the deputy Prime Minister recently come out and mentioned that a consultation period with the real estate sector perhaps is coming to a close and they perhaps are beginning to getting ready to move forward with that. As I mentioned, they've reduced interest rates. So I think the Vietnamese government is definitely given some positive indications and that gives us sufficient confidence to believe that at some point in the second half we should see a bit of an inflection point and a return and obviously the product has been significantly upgraded in the meantime, which should allow us to serve that rising wave when it does arrive.
Nicholas Jones: Great. And in each corner you provide this kind of great engagement market share by region. In the press release and I noticed Vietnam kind of jumped in about 8% from 4Qto 1Q. Can you speak to that? Is that -- are you kind of taking this [hold back] (ph) as an opportunity to try to invest and gain share in the region? I guess, could you speak to kind of what the jump was between 4Q and 1Q?
Hari Krishnan: Yes. I think to be honest, in our focus has been more on the product itself rather than paid marketing or any other form of market share gains in that sense. You've seen a lot of our competitors in the general space, obviously, use this as an opportunity to cool off their marketing spends as they -- simply the demand is lower because of the macro headwinds. And I think what tends to happen in those kind of conditions is the organic market leader tends to gain market share. So I believe that's what's happening. If the market would heat up again, I do believe you may see that number come down a little bit as some of our smaller competitors use paid marketing to try and go after it. We're not overly focused on it. I think we -- even coming into the period, the market share was sufficient for us to sort of monetize the market sufficiently. And I think we remain focused more on that.
Nicholas Jones: Great. And one last question, if I can. Average revenue per agent in Singapore continues to kind of improve year-over-year. I think it accelerated sequentially. Can you kind of talk to what's driving that number higher and how we should think about the growth in the average revenue per agent number in Singapore? Thanks.
Hari Krishnan: Yeah. I think it's a great question, Nick. And I think it's been heartening because we've also seen the total number of agents grow. So I think that's been interesting, because normally with the denominator growing, that obviously reduces your ability to grow ARPA. I think what we've seen is, with a really strong property market here in Singapore, agency need to compete. And a number of premium products that our product team has shipped in the last two years have seen strong adoption and we continue to ship more premium products and we're seeing strong adoption of them as well. So I think its product adoption, particularly with the premium products that's driving the ARPA growth and, obviously, the agents having to compete more and more. Some of the cooling measures from the government as we have noted on previous calls. What they tend to do is, it actually means that our listing will probably stay on the platform a little longer, which means the agent needs to compete a little longer. And therefore at least in the short term that actually paradoxically almost helps the platform monetize the agent a little bit better. And so, I think it's just been really strong product adoption that's driven ARPA growth.
Nicholas Jones: Great. Thanks, Hari. Thanks, Joe.
Operator: Okay. Our next question is going to come from Nelson Cheung with Citigroup. Nelson, go ahead.
Nelson Cheung: Hi, Hari, Joe. Thanks for taking my questions and congratulations on the solid quarter and anniversary of being a public listed company. So my first question is regarding the Singapore market. Yes, we just discussed about the reason property cooling measures such as raising stamp duty and other test measures. Can management elaborate more specifically on how would that impact the transaction activities on our platform into the second quarter and perhaps into the rest of the year? Thank you.
Hari Krishnan: Thank you for the question, Nelson. I think clearly the attempt by the government here is to make sure that this very strong property market that we've enjoyed in the second half of 2022 and into the first half of 2023 is balanced by making sure that affordability for the average Singaporean is not compromised. You've seen a lot more foreign buyers come into our market as the world continues to open up post-COVID and more investment dollars have come into the property sector from outside these markets. But the flip side of that coin is that, we are seeing a large number of -- tens of thousands of units, further the Singapore government published an article a few weeks ago, somewhere between 60,000 and 100,000 new units are going to be launched in Singapore through this calendar year. So supply is going to increase significantly. And so, what you're going to see is, and I also mentioned the GDP growth in the construction sector being really strong, north of 8%. I think that helps us give -- that gives us confidence that that supply coming online along with a little bit of cooling of demand as a result of these cooling measures will make sure that price doesn't get out of control and that will allow participation in the marketplace to remain robust. The demand side is going to be there because people are not going to get priced out of the market as a result of increased supply as well as the cooling measures. And yet, demand remains very strong from foreign buyers as well. So I think we remain bullish about the Singapore property market for the rest of the year.
Nelson Cheung: Thanks. That's very helpful. And then my second question is related to the Malaysian market. Just wondering, with the strong leadership in the Malaysian market, how do management see the position of the two brands in the Malaysian market in the future, and how do we see any synergies or potential cannibalization of these two brands in the market? Thank you.
Hari Krishnan: Thank you for the question. I think we remain very excited by the performance of both our brands, PropertyGuru and iProperty Malaysia. And what we've seen so far is a stronger option from both agents and property seekers in Malaysia of both brands. People have their own preferences, the products are slightly different, there is some amount of overlap, of course, but there are customers who are loyalist to one brand or the other. And at least for now, as we've stated in the past we continue to have this strategy of two brands, one team. And we're beginning to see a lot of leverage. We're beginning to see the financial performance come through as Joe noted in his remarks as well. So I think for now at least the goal is to maintain both brands in that country, continue to consult with the market to make sure that's what the Malaysian consumer and agents and developers would like. And I think it is allowing us to solve for the market rather than having to focus on a specific competitor and just fighting amongst ourselves.
Nelson Cheung: I see. Thank you. And then my last question is regarding the macro environment. Under the current rate cycle and inflation environment, can management comment whether these macro factors will still weight on the property market transaction level in the rest of 2023? Thank you.
Hari Krishnan: So I think, obviously, I think real estate sector is dependent on interest rate cycles in particular. Both the construction site for real estate developers to see the viability of their projects, as well as, obviously, for the consumers when it comes to home financing. What we are seeing is in Singapore, as I've already mentioned, even though the interest rates have absolutely have increased through last year, we continue to see very strong demand. Malaysia is seeing strong demand. And then in Vietnam, as I noted, interest rates have actually been taken down by the government to try and stimulate demand later in the year. So at least for now, while we remain cautious about what could happen here, it is definitely -- it is a headwind. I wouldn't suggest it isn't. But at least in the short term, we continue to see demand and some of those macro tailwinds that we've often spoken about, urbanization, emergence of the middle class, and digitization, those three macro tailwinds, at least for now, overcoming these headwinds that are global.
Nelson Cheung: Thank you. That's very helpful. I’ll go back to queue. Thanks.
Operator: [Operator Instructions] The next question is going to be from Fawne Jiang with Benchmark. Fawne, go ahead.
Fawne Jiang: Yep. Thanks, Gary. Hi, Hari. Hey, Joe. Thanks for taking my questions. Two on my side. First, wanted to dig a little bit deeper on your cost structure. I noticed that the cost of your headquarter seem went up quarter-on-quarter, year-on-year, just wonder what's the driver behind it? And then I think Hari mentioned that you guys -- in terms of how you guys actually see reduction. Just wonder what's the, I think, the plan, the budget for 2023?
Joe Dische: I'll pass back to Hari on headcount. The increase in our corporate cost is solely driven by ongoing listed costs. So obviously this time last year, we were not a listed company. We only listed March 17 of the prior year. So we had a very small amount of ongoing listed costs. So these are the sort of incremental costs are being listed, so things around D&O insurance, listing fees and compliance, et cetera. But obviously, in this year, we had a full quarter's worth of costs, so that was really the sole driver really of that increase in cost. So that hopefully addresses that question. Over to Hari.
Hari Krishnan : Yes. On the headcount question, I think we are still a high-growth business. We continue to grow well. And so we need to be smart about knowing where to make investments. And so as I mentioned, we have added a few new executives to our leadership team, very excited by their experience and what leverage they're going to add to our business. We've always been smart and deliberate at building out that leadership layer, as well as investing in specific areas like product and technology, et cetera. But I think, having said all of that, we do -- we are taking cognizance of the overall macro environment as well as slowdowns in key markets like Vietnam for us. And therefore, as I noted, in Q1, we have seen -- through just active management of the business, we have seen a reduction in our headcount numbers within the group. And that continues to be our mode of operations for the rest of the year. We are continuing to focus on leverage, try to increase efficiencies within the business, assess areas which are growing well, and there we will invest hard. But other areas where we think perhaps it's not the right time or perhaps the product market fit isn't perfect, we will maybe pause. But I think this is not unique to this year, to be honest. But I think what you are beginning to see is on the headcount side of things, you will see those numbers decline a bit through the year.
Joe Dische: And just to add to that as well. I think sort of more broadly on costs, we are seeing some good drop-through from revenue through to EBITDA. We mentioned earlier in Malaysia, where sort of over 80% of every incremental dollar [indiscernible] to the bottom line. And if you sort of adjust or add back for those ongoing listed costs, we've actually had a very good drop-through during the period of around 49%. So I think the business is, despite some challenging conditions in some of our markets, really showing some good overall leverage.
Fawne Jiang: Understood. That's clear. Thanks. My next one is actually regarding the generative AI. Hari, you mentioned that the company seems to be excited, seem to invest in the area. Just wonder what are the key benefits you foresee this technology will you can leverage the technology to push your business to the next level, whether it's on the potential implication of driving top line or even on the cost optimization. Any color, I think that would be helpful.
Hari Krishnan : Yes. I think -- thank you for that question. Like every other technology company in the world, generative AI excites us. We are cautious about what are some of the risks associated with it, of course, and we navigate that with our partners and the rest of the world, frankly. But just before I directly answer the question, we do have a track record of investing in some of these technologies as they emerge. So when machine learning came out, when Tensor Flow was made open source, we were among the first companies in Southeast Asia to leverage it on a back-end function. So what we did is, we use it for image recognition, image moderation and significantly improve the consumer experience on our platform as a result of using machine learning on the back end of our platform. And this is many years prior to us going public. So we've always been at the bleeding edge of adopting some of these technologies. And so as I mentioned in my remarks, a generative AI, we're using it both at the back end to improve -- to help our engineering team look at code quality, significantly look at -- for our CTO and the engineering team to look at productivity within the development org, as Joe has mentioned a few times, we are focused on leverage within the business. And so making sure while we will invest in engineers, we can look at these technologies to improve productivity. And we have started some experiments on the front end as well. So we're trying to have agents experiment with some of the generative AI capabilities when it comes to listings, and therefore, improving the quality of the experience for our consumers as well. So I think there's a lot more that's going to come in this space. And hopefully, in the next quarters, I'll be able to share even more.
Fawne Jiang: Got it. Thank you. I'll go back to the queue.
Operator: [Operator] While we're waiting there we'll take one that was typed in on the question box that was related to M&A. Are there -- the M&A strategy, are there any -- is there potential to do non technology related acquisitions? An example might be acquiring another portal in Southeast Asia. So, just elaborate a little bit on the M&A strategy.
Joe Dische: So I think on M&A, our focus areas, which we've outlined really are on the adjacencies. There really isn't much in the core classified area to actually buy. We have very, very strong positions there. We don't need to really do any further consolidation in our core markets. In terms of the other adjacencies, we look where we operate at the moment. So around fintech, obviously, there are mortgage brokers really sort of present in our markets, and that's a huge opportunity and something that's obviously very well used in other markets. Data as well is another area of focus for us. We're obviously building a data business, but there may be acquisitions we can make. Data is a huge opportunity, billions of dollars in the U.S. and around the world on data. Home Services, we've already made an investment there in Sendhelper, we're obviously looking around the region to see other opportunities. And then more broadly in developer operating systems, developers are on the start of a digital journey in Southeast Asia. So there's things around property management is one example and there's pent if other things like rent collection, et cetera, and digitizing that. So lots of opportunities in those adjacencies, and that's really where the focus for us lies. And geography based, we are experts in ASEAN, and that's where we've been very successful. So for now, our focus remains within those markets. But we are excited by the opportunities that we're seeing. There's nothing specific to report back on at this stage. But we've built a corp dev team internally, which obviously gives us great leverage to go out there and really look at a range of opportunities. and we'll make sure we come back and update as things progress.
Operator: Okay. We have a follow-up question from Fawne with Benchmark. Fawne, go ahead.
Fawne Jiang: Just a quick follow-up here on your fintech business. It seems like it has been growing very healthily. Just wonder how should we look at the fintech segment for the rest of the year given the current market condition? In addition, any consideration of a potential rollout in other markets, whether this year or basically down the road?
Hari Krishnan: Yes. I think when it comes to our fintech business, we are pleased. From a standing start in 2022, now have brokered over S$4 billion worth of home loans is a clear indication that the market is happy to see the value we're adding. We're partnering very closely with banks. There's a lot of innovation we are producing in terms of the experience. And actually, even property agents have been partnering very closely with us to make sure that their clients are correctly advised on the best way to manage their finances. In a changing interest rate environment, even more so people are looking at their household cash flows and all of that. Having said that, we continue -- Manav, who is our CTO, who has expanded his remit to become MD of that business is looking along with his team at ways in which we can accelerate growth within Singapore on that space. And then to your other point, absolutely, we are looking at within our other five markets to see is there an opportunity to take either this business model or another version of our fintech business into our other markets. So at the beginning, that has always been something we've looked at. But again, one of our strengths is, we first try and make sure that we know how to execute a particular business in one country well before we step out and that's sort of driven the profitability and the steady growth over the last 15 years. So I think that's not different with fintech.
Fawne Jiang: Understood. That's clear. Thank you.
Operator: [Operator Instructions] And meanwhile, we'll take another question from the type in box. Can you elaborate on why building a data business is important for PropertyGuru? Are you modeling the opportunity that CoreLogic has in the U.S.. Is that one of your main goals?
Hari Krishnan: This is a multibillion-dollar industry in Southeast Asia. And the reality of the fact is if you compare with North America, as you pointed out, or Australia or Western Europe or Japan, there are large stand-alone property data businesses that inform valuers, REITs, real estate developers, urban planners, consumers, agents, banks, values. They depend on these feeds to have a single source of truth. They are able to make the decisions on their portfolios, investment decisions on land and so on, base is this information. Our markets, including here in Singapore, we don't have a solution of that nature. Now over the last 15 years, we have over time essentially become a de facto source of that. But our consumer marketplaces aren't really -- haven't historically tried to solve for that, to be honest. We've been focused on the home seeker and the property agents, real estate developers in that sense. But now with the introduction of our PropertyGuru for business portfolios and primarily DataSense, which is our core data business product, we are very much focused on monetizing and sort of creating value in that space. And so, there's going to be a lot of good first-party data or proprietary information coming off of our marketplaces. But already, we are getting other kinds of information, whether it be flood risk data, mobility data, et cetera, which we are monetizing, which you can see on our -- available on our platforms. But what we want to stress is we are in the insights business rather than the raw data business, where we can create the most value is by bringing these data sets together, productizing them and making them available to these customers who I mentioned earlier. So yes, we're very excited by the opportunity here. And yes, we will take inspiration from companies like CoreLogic, CoStar, et cetera, to see how they have monetized some of these other markets. But our markets, frankly, remain a greenfield for us to go out and create value.
Operator: Okay. Great. [Operator Instructions] Okay. It looks like we're done on the Q&A. So that concludes the Q&A session. So I'm going to turn the conference back to Hari for any closing remarks.
Hari Krishnan : Thank you. We look forward to sharing our continued progress with you next quarter as Southeast Asia's property sector continues to grow to house its emerging middle class. Until then, thank you all for joining us today. Goodbye.
Operator: So this concludes conference call. You can all now disconnect.